Operator: Thank you for standing by. My name is Mark, and I will be your conference operator today. At this time, I would like to welcome everyone to ZipRecruiter, Inc Q3 2024 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Andrew Haroldson, Investor Relations. Andrew?
Andrew Haroldson: Thank you, operator and good afternoon. Thank you for joining us in our earnings conference call during which we will discuss ZipRecruiter’s performance for the quarter ended September 30, 2024 and guidance for the fourth quarter 2024. Joining me on the call today are Ian Siegel, Co-Founder and CEO; David Travers, President; and Tim Yarborough, CFO. Before we begin, please be reminded that forward-looking statements made today are subject to risks and uncertainties relating to future events and/or the future financial performance of ZipRecruiter. Actual results could differ materially from those anticipated in these forward-looking statements. A discussion of some of the risk factors that could cause actual results to differ materially from any forward-looking statements can be found in ZipRecruiter’s quarterly report in Form 10-Q for the quarter ended September 30, 2024, which is available in our investor website and the SEC’s website. The forward-looking statements in this conference call are based on the current expectations as of today, and ZipRecruiter assumes no obligation to update or revise them, whether as a result of new developments or otherwise. In addition, during today's call we will discuss non-GAAP financial measures. These non-GAAP financial measures should be considered in addition to , not as a substitute for or in isolation from GAAP results. Reconciliations of the non-GAAP metrics to the nearest GAAP metrics are included in ZipRecruiter’s shareholder letter and in our Form 10-Q. And now I will turn the call over to Ian.
Ian Siegel: Thank you, and good afternoon to everyone joining us today. ZipRecruiter continues to navigate a protracted labor market downturn. In Q3 2024 revenue of $117.1 million was down 25% year-over-year. Net loss in Q3 was $2.6 million, while adjusted EBITDA was $15 million, equating to a net loss margin of negative 2% and an adjusted EBITDA margin of 13%. Notably both revenue and adjusted EBITDA in the quarter came in above the high end of guidance. We continue to balance financial strength with investing in strategic initiatives that we believe will drive a strong ROI positioning ZipRecruiter for success with job seekers and employers alike. While there are many ways to measure market share in our industry, we have been acutely focused on winning share with job seekers via a superior job search experience. Our strategy around product and technology has proven effective as ZipRecruiter has grown job seeker traffic year-over-year in Q3 at least 13 percentage points more than any of our largest competitors. Our multi-year investments in brand, advancements with fill, our AI driven career advisor and focus on matching technology have all played a role in winning trust and loyalty with job seekers. We firmly believe that overtime revenue from employers will follow the market share shifts with job seeker activity. While each labor market cycle is distinct by several measures this is one of the more prolonged downturns in hiring activity. Seasonally, adjusted hires have declined on a year-over-year basis every month since August of 2022, which is approaching the same duration in hiring declines as the recession of 2008. Further, the great stay continues with the currently employed leaving their jobs at the lowest rate since 2015 excluding the onset of the COVID pandemic. This persistent reduction in employee churn is further driving down hiring levels. While it is difficult to predict exactly when hiring activity will recover, we are confident in the long-term health of the US labor market and see the end of the great stay as a future tailwind. Despite the duration of the hiring decline, our operating philosophy of remaining nimble, responding to the macro economic environment, while investing in our product and technology has proven effective during this period. We believe that when businesses resume hiring they will experience a much improved marketplace with better tools and a greater supply of candidates to find a great fit for their job opening through labor market cycles. We remain intently focused on our mission of actively connecting people to their next great opportunity. With that, I will now turn the call over to Dave to review progress on our growth strategies. Dave?
David Travers: Thank you, Ian and good afternoon. Q3 was another strong quarter of execution toward building out each of our three strategic pillars. Our first strategic pillar is to increase the number of employers and the revenue per paid employer in our marketplace. Last quarter we highlighted the initial rollout of ZipIntro. ZipIntro is essentially speed dating for hiring, where employers pick a time for an interview and then ZipRecruiter' smart matching technology brings them qualified job seekers to speak with back to back over video. Employers love ZipIntro’s ability to accelerate face to face connections for faster and more personal hiring experience. The results were exceptional, with over 90% of jobs seekers saying they're likely to use ZipIntro again. And employers receiving over three times more quality applications per job utilizing ZipIntro. ZipIntro fully launched to all subscription customers in Q3. And the results continue to confirm the value of this product generates for our marketplace. With ZipIntro, most employers received their first application in under 20 minutes and talk to a candidate the next day. This product has gained strong traction in the early stages with the full launch of ZipIntro seeing an over three x increase in adoption after the initial rollout. In Q3, we also launched our next generation resume database, which helps employers find qualified candidates in minutes. The new resume database features cutting edge search and filtering capabilities, instant access to candidate contact info and fresh workflow management tools. After searching for the right candidates, employers can unlock the resumes and contact info of qualified candidates. In the first week of launch we saw an over 20% increase in average weekly candidate profile unlocks compared to unlocks before the launch in 2024. Turning to our second pillar, increasing the number of job seekers in our marketplace. As Ian mentioned, we have been investing heavily into the job seeker experience, given our belief that market share shifts in job seeker activity will be followed by market share shifts in employer revenue dollars. Our gains this year. For organic and total job seekers have continued. In Q3, total ZipRecruiter web traffic as measured by similar web in the US grew by 21% year-over-year, which is at least 13% points more than any of our largest competitors. This includes organic job seeker traffic growth of 23%. We believe these gains have been a result of a multi year investment in brand, product and technology. We create rich profiles for job seekers using resume data information green by Phil or AI based career advisor and other data they provide about their skills and backgrounds. More comprehensive and up to date jobseeker profiles make for better matches to jobs creating value for both job seekers and employers. In Q3, we rolled out several product improvements that make it easier for job seekers to upload and review their resumes, add a photo, build out their profiles and ultimately present their best sales to employers. Notably we've improved how we pull content from a job seeker's resume to populate their profile, an update that helps job seekers quickly populate their work history, education details and more. We believe that making it easier for job seekers to maintain and enhance their profile improves their job search experience. It also makes employer products like our next generation resume database more valuable for employers. I'll conclude with our third pillar, making our matching technology smarter overtime. In Q3 we rolled out a meaningful improvement to the algorithm. Powering the email notifications we send job seekers that feature newly posted relevant jobs. These email notifications are highly effective at driving applications to a job shortly after the job is posted, making it more likely the applicant will be hired and delighting employers who aim to hire fast. We saw an increase in job seeker engagement as a result of the update with clicks from the email notifications increasing by 100% and applications from those emails increasing by 120%. I'll now turn the call over to Tim, to review financial results and guidance Tim.
Tim Yarbrough: Thank you, Dave and good afternoon everyone. Our third quarter revenue of $117.1 million represents a 25% decline year-over-year, primarily due to reduced demand from SMBS with continued uncertainty and volatility in the labor market. Quarterly paid employers were 65,000, representing a 27% decrease versus Q323 and a 7% decrease sequentially. The year-over-year and quarter-for-quarter decreases in quarterly paid. Employers are primarily reflective of reduced demand from SMBs and the continued uncertainty and volatility of the labor market. Revenue per paid employer was $1795. Up 3% year-over-year and up 2% sequentially. The increases year-over-year and quarter-for-quarter are primarily due to the slight mix shift from subscription revenue to performance revenue. Net loss was $2.6 million in Q3 2024, compared to net income of $24.1 million in Q3 2023 and net income of $7 million in Q2 2024. Q3 2024 adjusted was $15 million, equating to a margin of 13% compared to $54.4 million, a margin of 35% in Q3 2023 and $27.8 million with a margin of 23% in Q2 2022. Net income and adjusted EBITDA decreases year-over-o year were driven by revenue declines, while the sequential decreases were driven by revenue declines and higher operating expenses. Cash, cash equivalents and marketable securities was $498 million as of September 30th 2024. Moving on to guidance our Q4 2024 revenue guidance of $107 million at the midpoint represents a 21% decline year-over-year and a 9% decline quarter-over-quarter. The year-over-year decline represents the continuation of a prolonged labor market downturn, while the quarter-over-quarter decline reflects our expectation of a seasonally softer Q4. Our adjusted EBITDA guidance for Q4 2024 is $9 million at the midpoint or an 8% adjusted EBITDA margin. On a sequential basis this implies a slight decrease to operating expenses as we moderate marketing during a seasonally soft period. Our fourth quarter guidance implies a full year 2024 adjusted EBITDA margin of 16% within the expectations we outlined at the beginning of the year and leveling off adjusted EBITDA margins in the low to mid-teens. As we finish 2024 and enter 2025, our operating philosophy remains unchanged. We remain nimble and are prepared to quickly adjust to a wide range of scenarios, while the labor market remains challenging and uncertain., ZipRecruiter maintains a healthy balance sheet and a flexible operating model. We are positioned well to continue investing in our strategic growth drivers and remain ready for recovery and hiring activity. With that, we can now open the line for questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] And your first question comes from the line of Ralph Schackart with William Blair. Ralph, your line is now open.
Ralph Schackart: Hi, good afternoon. Thanks for taking the questions. First question just in terms of the verticals that you serve, maybe David can you just give a highlight, any pockets of strength that you're seeing and then the early cycle verticals that initially saw the softness be it technology or anything else, anything you'd call out there or any color you could add on those early cycle verticals then I have a follow-up?
David Travers: Yeah, thanks Ralph. Yeah. So in terms of verticals as has been the case for a long time, our business looks like the whole US economy, so we're not particularly concentrated in one sector in a way that isn't representative of the economy as a whole. But looking at verticals, health care despite softness we saw remained fairly robust compared to other verticals and healthcare is a significant, obviously, chunk of the economy. So that was notable bright spot I would say you know on the on the more negative side of things we saw transportation, storage, travel and leisure being on the weaker side of the ledger where we saw softer performance. And then in terms of those early verticals you talked about, finance and technology in particular, which is where we saw weakness at the very beginning of this particular downturn back in mid 22. They were in the middle, in between the book ends of health care being a little bit stronger and things like transportation and storage being on the weaker side.
Ralph Schackart: Great. Just follow-up sounds like SMBs continue to be a cyclically challenged, so just if you can get an update on what you're seeing from your enterprise customers? Thanks.
Ian Siegel: Yeah. So enterprise customers as evidenced by the fact that our percentage of revenue that comes from performance marketing, which is driven by enterprise customers ticked up to 22%. Enterprise customers were a little bit more robust than SMBs were during the quarter. What we've seen there is a combination of good execution on our part. And also some hiring needs in particular areas like health care as I mentioned where areas like major medical centers continue to have structural shortages in things like nurses in terms of what we're doing, I'm really pleased with the execution of our teams there and what has been a difficult environment for a couple of years, but we're really optimistic that we've got a long way to go here that 22% is still less than the 50% roughly of the market opportunity in the us that enterprises represent and our optimism there remains very strong as we look at potential for further growth with enterprises.
Ralph Schackart: Great. Thanks, Ian.
Operator: Your next question comes from the line of Josh Chan with UBS. Josh your line is now open.
Josh Chan: Hi, thank you. Good afternoon. I guess in remarks you mentioned the great day. I was just wondering, if there's any house view on what will cause it to end and how that would kind of unfold. I know it's, you know open ended question but appreciate any color there.
Ian Siegel: Yeah. Hey, thanks for the question. This is Ian and we are definitely students of the labor market as we enter our 26 months in a row where hires have declined on a year-over-year basis and a substantial portion of that decline is coming from the fact that people are just fundamentally quitting at a much lower rate than they previously did. And in fact, that is what drives a substantial portion of the overall hiring in the US. If you go back to January of 2022, the quit rate was 3%. And if you look at the most recent month, it was under 2%. So it's falling by more than one-third. And it seems like there are a combination of factors that are causing people to stay. A lot of people in the post-COVID rehiring when the economy was opening back up are benefiting now from either top of market or even above market salaries, jobs that included a record number of perks, including things like bonuses and benefits. And then further a lot of people got into home at extremely low interest rates. And so we think there is going to be a natural period of time where as the economy returns to more of a steady-state normal. This is going to work its way through the system and the hiring will resume. I would just say here that if you were to go back to 2001 or you were to go back to 2008 and you were to look at the pattern that came with those recessions, we are entering close to record territory in terms of the duration of this particular recession. And in every previous recession, you look at, everybody starts to ask questions like has there been a structural change in what we believe internally if you ask for our house view is that the best bet over the long term is the health of the US labor economy and that hiring will resume and that we will see a more balanced normal in the future here.
Q – Josh Chan: That's really helpful color. I really appreciate that, Ian.
David Travers: Just to add on to that. The other thing I would say about the -- this is Dave, the quit rate having dropped so much is that people quitting is a huge portion of job seeking activity. And so in that context, the growth we've seen with job seekers, both on an absolute basis and the 13 percentage points of share gain or relative outperformance of any of our large competitors makes us feel even stronger about the strength of that performance, which we've been talking about for several quarters now.
Q – Josh Chan: Thanks. That makes sense. Thank you, Dave. And then maybe I can follow up with a question about the Q4 guidance -- understand that every Q4, the labor market slows down a little bit seasonally. So I was just wondering, in your mind, does that Q4 guide content a typical amount of seasonal slowdown just wondering any color you could give there. Thank you.
Tim Yarbrough: Hi, Josh. This is Tim. Yes, the Q4 guide takes into account 2 things. One would be a seasonal decline, and we would expect that decline primarily to be from SMBs that would be a more typical pattern, but also recognizing that the labor market still remains soft. And so it takes both of those dynamics into consideration.
Q – Josh Chan: Great. Thank you, Tim, and thanks, everybody, for your time. Good luck in Q4.
Operator: Your next question comes from the line of Doug Anmuth with JPMorgan. Doug, your line is now open.
Maggie Hoffman: Hi. This is Maggie Hoffman on for Doug. Thanks for taking the question. I was just wondering if there's any color you can provide around the timeline for the launch of Breakroom in the US? And then maybe just more broadly as you roll out new products and features sort of how we should think about the monetization opportunity there over time? Thanks.
David Travers: Thanks, Maggie. Yeah. So Breakroom, we continue to be very excited about obviously we're a few months into the integration since we acquired them a few months ago over the summer. First of all, they're performing great in the UK. They're a young business. So it's not a material portion of our revenue at this point. But they're you know building both on the job seeker side, where we see strong growth in the UK and on the employer side, where they're performing very well and work is well underway to launch Breakroom in the US. So you know we already have several components of the work that's been done and look forward to updating you on that in 2025 as that launch comes together in the US.
Ian Siegel: And then, I will -- this Ian, I will just add on new products. We have multiple new products that have already been deployed. One is the new Resume Database. The other is ZipIntro. And like many new products, now that they have hit the market and are meeting customers. We're getting really strong feedback from our customers about what they like about it, and we're also getting a number of feature requests. And I think this is a pattern that has played out with our business over and over again over the years, which is what we do in these situations is we try to maximize the value we're delivering, and then we are cognizant of the need to monetize that value that we are providing. But right now, we are in the -- we are in the value maximization phase of it. And over the course of 2025, both those products will contribute revenue, but the magnitude of what they contribute is not going to be overly material to the full year results. However, we think it will be material to our customer satisfaction. And over time, we expect them to be larger and larger contributors. And just part of an overall portfolio of innovations, which we are bringing out, these are just the first of what should be many. So we are working towards really improving the experience on our site particularly for job seekers and for employers. And once we have that value fully deployed, we are also very focused on acquiring and monetizing that value.
Maggie Hoffman: Great. Thank you so much.
Operator: [Operator Instructions] And your next question comes from the line of Glenn Shell with Raymond James. Glenn, your line is now open.
Glenn Shell: Good evening. I was just wondering how are you thinking about balancing investments for maintaining low to mid-teens margin profile.
Tim Yarbrough: Yes. So our philosophy really hasn't changed. We've been in a pretty dynamic environment for the last couple of years, and we respond to the -- that environment as it comes. And so over the course of this year, especially we've seen hiring trends to be relatively flat towards the front part of the year. And then that trend start to soften towards the back end of the year, and we've adjusted accordingly. So over the course of the year, we're delivering margins in the low to mid-teens, consistent with the feedback that we provided all year long. But we're doing that not in response to or in direction of any single quarter's performance. But in terms of long-term performance. That's the primary lens that we use.
Glenn Shell: Okay. Thank you. And then, you're obviously making really good progress on job seeker traffic growth. What tailwinds do you see coming from this momentum whether new employer conversations, better matching anything like that? I have one more follow-up if we have time.
David Travers : Yes. This is Dave. So, on the job seeker front to zoom all the way out, obviously, we're a two sided marketplace. We monetize entirely on the employer side of the marketplace but job seekers are the foundational element that brings our employers here. So as we grow and as we grow relative to our competitors, on the job seeker front that makes everything in our business work better, from new business acquisition to matching technology to retention of customers and keeping customers happy, keeping their intent to return as their hiring needs come back in the case of small businesses or keeping their month to month hiring needs. In the case of enterprise customers as robust as possible and keeps our value proposition as robust as possible. And it's not only the absolute number but it's now this compounding trend line of being the fastest growing highest momentum jobseeker destination in the job space that gives us a lot of confidence but this is a forward-looking indicator, every single major move in our view of the history of the online job space in terms of employer revenue dollars has been preceded by a major move in job seeker market share. And we're seeing that job seeker market share in our business, which makes us very, very optimistic for the future as the macro environment changes.
Ian Siegel: And this is Ian. I would just say that in an environment where every player in the recruiting space is confronted with the reality of reduced hiring demand from employers. The one place where we feel we can most clearly see and fight for market share is with job seekers. And the measure of how our marketplace is improving is I think made apparent by how successful we have been not steps in the quarter, not just in the year but over the last two years in the steady increase in job seeker traffic where we have been a disproportionate winner relative to all of our peers.
Glenn Shell: Great. Thank you. And then more on the employer side, you said that some employers are coming back to ZipRecruiter without a marketing effort. How should we factor that into our models? And is that a growing trend that you're seeing?
David Travers: Yes, so great question. So, we're extremely excited about driving brand awareness above 80% on both the job seeker and the employer side of the marketplace. So you know from a standing start a little over a decade ago to where we are today that's been a significant and ongoing investment. And we see that as being a major asset as we go forward. That said we still believe we're in the growth in early stages of building this marketplace. So we plan to continue to invest in that brand. But we do see over time that significant numbers of every single cohort come back to us as their hiring needs come back. And that's especially true in that small business segment that I mentioned a little bit earlier where their hiring needs are often intermittent. If you have five or 10 or 25 employees, you're not necessarily hiring it every single second. And so staying top of mind in between job searches is critical for us and that's where having brand awareness and being top of mind is so important. So we're going to continue to invest in that. But as we've studied this business, as we've studied other online marketplaces, as we've studied job -- online jobs marketplaces in other countries, what we've seen is marketing and sales have come down over time as businesses cross into the you know two decade you know kind of age in their life cycle. And there's no magic formula of that, but it gives us very high confidence that already at our current scale and at our current brand awareness, we're reaching virtually every single job seeker and every single employer with our marketing and messaging in a given year often multiple times. And so as we scale our revenue, the reason we have confidence in our 30% long term adjusted EBITA target is because we're not going to have to scale on the go to market side as revenue scales.
Ian Siegel: And I would just add that if you go back to the postcovid initial recovery back when we were still being careful about the investment of marketing dollars, we were not yet certain as to the steadiness or persistence of said recovery. But the advantage of having top of mind brand name recognition really becomes apparent when hiring demand is increasing because without spending money on marketing. Dollars we saw a surge in organic business and that's where it really manifested into the operating leverage that we have come to appreciate so much. So I think we're well positioned as a top of mind answer for most of the employers in America is still like where should I go to post my job? Zip recruiter is one of the ready obvious solutions. So that's a real that's -- a real advantage in the scenario where we see hiring demand start to increase.
Glenn Shell: Okay. Thank you very Much.
Operator: There's no further question at this time and that concludes today's call. Thank you all for joining. You may now disconnect.